Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2013 Analyst Conference Call of Deutsche Bank. [Operator Instructions] I would now like to turn the conference over to Mr. John Andrews, Head of Investor Relations. Please go ahead, sir.
John Andrews: Thank you, operator, and good morning, everybody. This is John Andrews, Head of Investor Relations of Deutsche Bank. I'd like to welcome you to our quarterly earnings call this morning. With me is Anshu Jain, Co-CEO; and Stefan Krause, our Chief Financial Officer. And we would like to thank you very much for your attendance this morning. Without further ado, I'd like to turn it over to Anshu who will have a few opening remarks, followed by Stefan who will take you through the earnings presentation which is available on our website. Anshu?
Anshuman Jain: Thank you, John, and good morning, everyone. This call marks 4 quarters since we launched Strategy 2015+. We're working systematically to deliver on the promises we made. We are well into our journey, and we passed an important milestone. In the third quarter, we can report significant progress, but we also met numerous challenges. Let me start with the challenges. Market conditions were tougher during the quarter in contrast to a year ago, and market gained momentum from the ECB's decisive support for the euro. In this quarter, client activity and markets were negatively impacted by prospects of a withdrawal of quantitative easing and other stimulative policies. Litigation issues came to the foreground for the industry and for us. We took litigation charges of EUR 1.2 billion in the quarter, increasing our reserve to EUR 4.1 billion relating to several matters both in Europe and the U.S. This contributed to a lower quarterly result. In some of these matters, we are cooperating the resettlement in the near future. However, in others, we will defend ourselves vigorously. Our Common Equity Tier 1 capital ratio fell from 10% to 9.7% in the quarter, reflecting litigation reserves and several other factors. In a moment, Stefan will take you through [indiscernible]. As we've said previously, we may see more volatility in this ratio in the coming quarters as we respond to a developing regulatory environment and work through our strategic agenda. Notwithstanding this, we remain highly confident of maintaining the capital standards we've committed to. Now let me turn from challenges to some of our achievements, which include leverage. In July, we communicated our aim to reduce CRD4 exposure by EUR 250 billion by the end of 2015. In the third quarter alone, we achieved reductions of EUR 64 billion. That's on top of EUR 200 billion of reductions we achieved in the 12 months from June 2012 to June this year. Our leverage ratio already meets the European standard of 3%. However, we aim to build a substantial buffer above that level. Given our momentum, we are confident we can achieve that without compromising either our business model or, more importantly our delivery to clients. Furthermore, we sustained progress on cost. Our Operational Excellence program is on cost. Cumulative savings reached EUR 1.5 billion by the end of the quarter, close to our year-end target of EUR 1.6 billion. To be clear, in parallel to Operational Excellence, we're also investing significantly in infrastructure. Over the course of Strategy 2015+, we will invest a total of approximately EUR 1 billion in a portfolio of around 150 initiatives to address the implications of a changing regulatory environment. Roughly EUR 300 million of that investment will be complete by the end of the year. In addition, out of a total of EUR 4 billion of investment related to Operational Excellence, approximately EUR 2.7 billion will be invested in platform improvements designed to further strengthen our control environment. Let me now turn to our business. Core Bank profitability was solid even after litigation charges. In CB&S, revenues in debt sales and trading were significantly below the prior year quarter, but our performance in equity and corporate finance was resilient. Our investment banking franchise remained strong. In Deutsche Asset & Wealth Management, we delivered one of our strongest ever quarters on stable revenues and cost synergies from our integrated platform. We aspire to be a world-leading franchise in this business. We still have much work to do but we're confident that we'll deliver. In GTB, profits were solid, thanks to stable revenues, growing volumes, cost efficiencies and tight risk management. In PBC, revenues were lower against a backdrop of low interest rates and a tough environment for investment products. However, we're building a unique integrated retail business with a dedicated offering for German Mittelstand clients and progress is on schedule. So to sum up, we're making progress step by step on our journey of building a world-class platform for Deutsche Bank. We've said consistently, and we say now, that journey will require patience. We've confronted challenges along this way and we'll meet more in coming quarters. This is a dynamic environment. We continually monitor the development and reaffirm the validity of our strategic assumptions. We will continue to work systematically across every part of the bank, resolving legacy matters and configuring our platform for long-term success. We're committed to staying the course and confident we'll deliver. Now let me hand over to Stefan who will discuss the highlights for [indiscernible].
Stefan Krause: Yes. Thank you, Anshu, and good morning to everybody. We are aware that one of our competitors will be doing a conference call at 9:00, so I will be -- I will try to be quick, so we have enough time to answer some of your questions. So let's start by taking a first look at the overall performance in the third quarter on Page 2. The group performance, as you heard from Anshu, was severely impacted by litigation charges of EUR 1.2 billion, of which a large part relates to our noncore segment. The Core Bank, excluding its share of litigation charges as well as the cost-to-achieve for our ongoing efficiency program, produced an income before income taxes of EUR 1.7 billion, and as you see in the reported IBIT of EUR 1.2 billion which shows the strength of the bank that we are building. Revenues in the Core Bank decreased by approximately EUR 900 million versus the previous -- prior year end, more than half of which was offset by a decrease of noninterest expenses. The Core Bank generated a post-tax return of 7.5% including the aforementioned onetime costs. Let me now jump or arrive into what we believe the key themes are this quarter. So I've changed the sequence of my usual presentation to go right into the core topics. The EUR 1.2 billion of litigation that you see on Page 4, of litigation charges this quarter increased our litigation reserves to now EUR 4.1 billion. The majority of the quarterly charges relate to the legacy U.S. RMBS business. As most of the charges in the quarter are related to legal matters for which we have existing reserves, there's no release in the contingent liabilities bucket. This is a technical IFRS effect that you need to be aware -- there's not an automatic slide between the 2 buckets, which therefore only includes situations where we have not made reserves, but yes, because of the likelihood, that's currently below 50%. So that's the difference between the 2 buckets. We know that uncertainty around both the final cost of litigation and the timing of the expenses is frustrating for investors and other stakeholders, but we can assure you that we are working hard to put our legal issues behind us where that is possible and makes sense from our shareholders' point of view. The mortgage repurchase reserves on the right-hand side of the slide are in addition to the EUR 4.1 billion litigation reserve. And I would also like to remind you that independent of the litigation reserves, we now have, on our balance sheet, our Common Equity Tier 1 ratio also reflects EUR 12.5 billion of risk-weighted assets which would be about the equivalent of EUR 1 billion in capital against financial crisis-related litigation risk. Let's move on to Page 5. Obviously, the second topic is our CRD4 common equity ratio which has decreased by 30 basis points in the quarter. This is mostly driven by the capital supply side, more specifically, we saw no contribution for net income as litigation charges practically eliminated our core business performance. An unchanged dividend occurred of EUR 0.75 per share or around EUR 200 million per quarter. Approximately EUR 300 million in higher capital deduction which relates to, firstly, the higher expected loss shortfall and secondly, own shares in trading, where we saw some temporary uptick, which is expected to reverse in the fourth quarter. In addition, there was an approximately EUR 300 million impact in relation to equity compensation as we purchased shares for delivery at vesting. We also saw a reduction in capital from further effects shown as other which includes, for example, higher deductions of about EUR 200 million from deferred tax assets, partially resulting from litigation charges. An impact of below 10 basis points came from risk-weighted assets which, net of FX, as you can see on the chart, rose a modest EUR 2.5 billion. Regarding FX effects in the quarter, please note that these brought both RWA and capital down with -- but with no net effect on the ratios, on the capital ratio. Let me turn to Page 6 where we're providing you with the factors which can potentially affect our Common Tier 1 Equity ratio in the nearer future. We remain committed to achieve our 10% target by 2015, but we expect some volatility to the ratio in the near future. Some of these factors, we have seen affect our capital ratio as of the 30th of September, such as an increase in DTA deductions and equity movements in pension accounting. For example, the third quarter litigation charges of EUR 1.2 billion hit us in 3 distinct ways: First, we obviously had a lower net income, and as the result, obviously lower retained earnings; second, also we did have higher DTA balances resulting in higher capital deductions; and third, we had higher capital deductions under the 10% -- 15% pool due to the resulting lower capital base, that then obviously impacts our capital deduction as well. In addition, our capital ratio could be impacted by further changes in the interpretation of the regulatory framework, for instance, when final CRD4 regulations will be issued later this year or the ongoing issuance of regulatory technical standards by the European Banking Authority, which will stretch way into next year. On Page 7, we talk about a topic of interest to you lately with the leverage ratio. Let me start by highlighting that even before we announced our EUR 250 billion deleveraging program last quarter, we have been successful in reducing our assets. In the 12 months prior to activating the leverage tool book, we had already reduced our overall CRD4 exposure by EUR 200 billion, of which EUR 130 billion came from adjusted assets and the further EUR 70 billion came from reducing the CRD4 growth upward derivative [ph]. All of these reductions were delivered at minimal cost and with no impact to the business model. Let me now turn to the CRD4 reductions delivered in the most recent quarter, which you can see in detailed category. We reduced our CRD4 exposure by EUR 64 billion or EUR 36 billion excluding FX movement. EUR 36 billion reduction, excluding FX, fall into few broad categories. First, NCOU de-risking continues and delivered a EUR 5 billion reduction in the third quarter. Second, derivative from securities financing transactions for which there are specific CRD4 exposure rules which differ substantially from the regular balance sheet reporting. Here, we delivered an overall reduction of EUR 21 billion through a combination of process enhancements and additional netting agreements and trade compression. Further EUR 10 billion reduction was delivered across the other major categories, principally reductions in our trading investments. Let's move to Page 9, so I can give you some more color on how we think to deliver on our EUR 250 billion deleveraging target by year end 2015, as we have had another quarter to work and progress this project. Roughly half of this will come from derivatives and off-balance sheet commitments. Here, reducing the CRD4 impact from our derivative portfolio will be the main driver. As you know, CRD4 requires a notional add-on factor to derivative exposure. We will work with counterparts and gearing houses to compress here as we strike derivative provisions to bring down our CRD4 exposure. Process enhancements and additional recognition of netting agreements will contribute further. We will also targeting -- be targeting a roughly 10% reduction in the CRD4 exposure for off-balance sheet commitments and guarantees. The majority of these reductions rely on improved efficiencies and processes that we will -- we believe will only have a very modest recurring P&L impact. The remaining half of our tool book is more directly linked to balance sheet assets, such as the NCOU portfolio and our trading inventory. We will also continue to seek efficiencies in collateral management and further reducing wholesale funding without risking our liquidity as such. In this context, I would like to highlight that our liquidity coverage ratio is over 100%, in line with the commitment I made in our February analyst call. The impact from this measure is expected to be more significant and following further bottom-up review, we now estimate the recurring IBIT impact to be between EUR 450 million and EUR 500 million per annum and one-off implementation costs of approximately EUR 600 million. As we move forward in this journey, it's likely that we will see shift between individual reduction categories as well as some phasing effects as growth in selective areas may partially offset reductions. However, we remain firmly committed to the delivery of net EUR 250 billion in CRD4 exposure through the end of 2015. Let me now move on to Page 4 with the deleveraging -- Page 10, sorry with the deleveraging measures realized to date and despite the negative impact of significant litigation-related expense on our capital base is further, we improved our adjusted fully loaded CRD4 leverage ratio from 3.0 to 3.1 at the end of September. Looking ahead, between now and end of 2015, we plan to issue EUR 5 billion of new CRD4 compliant AT1 capital. At that point, we expect to have loss credit for EUR 3.8 billion of our grandfathered Tier 1 hybrid capital instrument, of which EUR 2.5 billion is shown in 2014 and 2015 for this projection, following EUR 1.3 billion in 2013. As an illustration, with the remaining exposure reductions and planned ATI issued and phased out, our adjusted fully loaded leverage ratio would be at about 3.8% by the end of 2015, well ahead of a potential 3% regulatory minimum, and that excludes any retained earnings between now and 2015. As previously mentioned, future regulation around leverage is uncertain. By taking decisive action now, we believe that this provides us with a sound position and with a significant buffer against any future changes. So let me now move on to group results. Let me start with an overview of the key highlights on Page 12. In the top Section, we provided the key figures and ratios for the first 9 months, including those which are our 2015 financial targets. We are clearly not satisfied with an RoE of 5%, but that includes, obviously, the aforementioned significant onetime item. We continue our focus on expenses at our cost/income ratio adjusted for onetime charges of 69% closer to our 65% target. Given the lack of profit, shareholders equity has been negatively affected by changes in foreign exchange rates which was also the main reason why the book value per share came down by approximately EUR 0.80. Also I'll need to mention here, bonus and retention expense for the quarter have come down in line with our lower results. Let me move on to Page 13. Group revenues were down EUR 900 million versus the same period last year and EUR 500 million compared with the second quarter 2013. In both cases, the decline was driven by the investment bank. I will discuss revenues in more detail when we come to the different business divisions. Let me now cover our provision for credit losses on Page 14. The EUR 14 million increase in provision for credit losses from the previous quarter reflects higher charges for IAS 39 reclassified assets, mainly in the European commercial real estate sector held in NCOU. Provisioning in our core business decreased, driven by PBC and GTB, the reduction in PBC amongst others reflect the ongoing strong credit environment in Germany. In the Core Bank, the loss ratio ranged between 25 and 32 basis points for the last 7 quarters, reflecting the high quality of our loan book. On Page 15, we talked about our cost. While we are fighting with litigation headwinds, we continue to focus on making our organization more efficient and our platform more sound. In terms of what we can control, our adjusted cost base, which adjusts for onetime cost and for the insurance effect, it has come down by another EUR 300 million since the end of June. The compensation ratio for the first 9 months has been booked by 2 percentage points, 38%, down from 40% last year. All this reflects further progress on our Operational Excellence program which we continue to push forward. On Page 16, I saw further information about the progress on that program. While we have invested a total of EUR 800 million in the first 9 months of 2013, we have realized savings of EUR 1.1 billion in the period and total savings of EUR 1.5 billion for the program to date. The realized savings can, to a large extent, be seen in the P&L as the adjusted cost base in the first 9 months have come down by a little over EUR 1 billion versus the same period last year. We are on track to reach our target of EUR 1.6 billion in savings by year end 2013. It would be fair though to point out, however, that it was benefited from foreign exchange rate, which reduced our cost base by about EUR 300 million in the first 9 months. In addition, we are making selective investments to sustain the quality, obviously, of our platform. We expect that we will probably not spend the entire budget of EUR 1.7 billion cost to achieve for 2013, so we expect CtA to increase in the fourth quarter. It is important to note that this only affects the timing of the cost to achieve, not the amount of the planned spending which, from current point of view, remains unchanged, a notch to our savings targets 2013 [indiscernible]. Let me move on to Page 17 which provides an update on the 165 initiatives of Operational Excellence. Three quarters of our initiatives are now in the validation and execution phases, and we are not only making progress on cost-reduction, but also, as I said, in strengthening our [indiscernible]. And, last but not least, on Page 18, you can see our profitability. Let me only go quickly into the effective tax rate, in the first 9 months of 2013, was 37%, which is mainly impacted by the expenses that are not tax-deductible and adjustments for income taxes in prior periods. Let's move now quickly into the segment results. I'll start on Page 20. The third quarter 2013 was obviously a disappointing quarter for CB&S, reflecting the difficult market conditions. Overall weaker result in the investment bank reflected significantly lower revenues in our debt and sales trading franchise, while equity sales and trading corporate finance performed very well. We maintained good momentum on our resource reduction program. Noninterest expenses excluding litigation CtA were down 14% year-on-year while CRD4 exposure came down by 5% in the quarter. Our debt sales and trading as you can see on Page 21, our debt sales and trading revenues declined significantly year-on-year, particularly in rates, RMBS and FX which were affected by the challenging market conditions and obviously, also some provisioning losses. Equity sales and trading, our equity sales and trading franchise continue to maintain the good momentum due to strong revenues in equity derivatives year-on-year. So let me go now to GTB. On GTB, on Page 23, you can see that GTB showed a strong IBIT of EUR 379 million in the third quarter of 2013. The good performance has been driven by our ongoing cost discipline as noninterest expense has decreased 7% quarter-over-quarter. On Page 24 now, where you have the usual page about the Asset & Wealth Management. Deutsche Asset & Wealth Management continued to benefit from the rise of equity and bond markets as well as from incentitives for the improving operating and technology platform. As a consequence, IBIT has risen to EUR 283 million this quarter, up 151% year-over-year. I would like to add at this point that Deutsche Bank continues to be very committed to the independence of Sal. Oppenheim and its positioning in this business, and hopefully, continue to be successful with that business as well. PBC result was impacted by several nonoperating revenue effects as you can see on Page 25, mainly from Postbank's investment securities portfolio and lower results from asset and liability management activity. Provisions for credit losses, as I've said, further improved with the benign environment in Germany. The underlying cost base was lower versus last year's quarter while the increase quarter-over-quarter was driven by the positive one-off impact from HuaXia Bank provision release in the second quarter, as well as higher infrastructure expenses. If I go to Page 26, we want to clarify some terms here. After implementing the new German mid-cap coverage model that we discussed with you, PBC has decided to rename Advisory Banking Germany into Private and Commercial Banking to better reflect its market approach. This progress result in Private and Commercial banking was driven by higher credit product revenue, but impacted by lower results from our activities in asset and liability management year-on-year. In Postbank, as we now call the former Consumer Bank in Germany, the result reflected a lower contribution from de-risking its investment securities portfolio and lower releases of loan-loss allowances. In Advisory Banking International, we see a stable performance in Europe, despite the difficult market while we continue to benefit significantly from the results of HuaXia Bank. On Page 27, you can see that in NCOU, further de-risking and disposals have again been achieved at a net gain in the period and aggregate continue -- and the aggregate continues to be capital benefit[ph]. During the third quarter, we have reduced CRD4 RWA equivalents by EUR 18 billion. This includes a reallocation of EUR 7 billion operational risk RWA from NCOU to the core division to reflect that the corresponding assets are managed by both divisions. However, the result was significantly impacted by the aforementioned litigation costs. Let me now turn to page 28. Since June 2012, our de-risking program has achieved a reduction of 45% of adjusted assets and a 56% of CRD4 equivalent risk-weighted assets. On this chart, we provide you with the examples of the de-risking in 2013 to date. I thought you might have some interest for some specifics here. The NCOU is contributing EUR 40 billion of balance sheet reduction as part of our deleveraging program. So I've come to an end. I think I can only conclude this quarter that as an organization, obviously, we are resolving many of the issues of the past, as well as the improving and investing in our platforms and preparing for the new capital regime by deleveraging substantially. What we take away from this quarter is the timing of all this will not always be perfect, but we continue as we move through our journey to achieve our Strategy 2015+ goals for which we remain very convinced and committed to. Thank you very much, and now I'm looking forward to your questions.
Anshuman Jain: Yes, operator. Thank you. If we could start the Q&A process, please.
Operator: [Operator Instructions] The first question is from Mr. Jon Peace of Nomura.
Jon Peace - Nomura Securities Co. Ltd., Research Division: The first question was on the deleveraging. I just wondered if you could give us a little bit more color on why the slight increase in cost deleverage just so we can understand a little bit also the phasing and the chances you may under or overshoot there? And the second question... [Technical Difficulty]
Operator: We have the first question from Mr. Jon Peace of Nomura.
Jon Peace - Nomura Securities Co. Ltd., Research Division: The first question was just on your deleveraging plan. You've increased slightly the cost estimate, so I just wondered if you could help us understand to which of the product categories the cost estimate sits? I just wanted to get an idea of the phasing of the EUR 450 million to EUR 500 million in charges you've identified, and to get a sense of whether there might be any conservatism in those estimates? And then the second question was just a sort of a generic question about the upcoming ECB asset quality review and the stress test. Do you have any thoughts at this stage as to whether that might have any impact on your provisioning or your risk-weighted asset measurement?
Stefan Krause: Okay, on the P&L impact, obviously, there is -- what has happened between the last quarter when we gave you our targets and now the bottom up planning that we do, there's a lot of line items in terms of individual assets, so it's very difficult to attain P&L individually to certain categories. As we had told you as a broad line of thought and generally, the CRD4 error, the exposure reductions, or the derivative exposure reductions generally do carry low P&L. Obviously, then reductions, for example, also on our repo books carry low P&L and all the other positions are the ones that carry then certainly larger ongoing P&L which made us revise our estimates. It's also in our initial estimates. We decided only to cut low ROA assets. And obviously, we're using the low RoE lifting and sequencing that we had, and now we see that it might be smart to keep some of that because it's business driving and has a famous halo effect on other business. So we might not be able only to reduce the assets that carry low ROA because some of that is business driving for other -- of our businesses that cause some of the change in our estimates. On the AQR, honestly, we don't expect any impact from the AQR. I know that there's some perception that there will be, but we don't really see in our balance sheet and we don't see in our positions where we should have or expect significant deviations from where we booked today. It's different, obviously, for the stress test. The stress testing always will deliver some indication, and that will obviously depend from the stress test. So our view is that we, obviously, will expect more results from the subsequent stress tests and we expect directly from the AQR?
Operator: The next question is from Mr. Dirk Becker of Kepler Cheuvreux.
Dirk Becker - Kepler Cheuvreux, Research Division: I would also like to ask about the upcoming ECB exercise. So what's your understanding of this 8% minimum? Is this the Basel III fully phased or is it the phase-in? So in other words, your starting point is that the 9.7% or is it the 14.6% safe in capital ratio? And then secondly, I noticed you had a very strong decline in the fixed income revenues as you had already advertised. But it seems a little bit more pronounced than what your competitors have reported. So I think this carries on with the question we already had in the second quarter. Does this go along with some market share loss in your perception?
Stefan Krause: So to answer both questions very quickly, it is the phase-in 8%, and that's what our knowledge is of it. So it does compare with our 14.6% current ratio, so you see that for the AQR, we have a significant buffer. For the stress test, the 8% may be different that's something that might include some of the later coming -- obviously, the stress test will extend for 2 years then we look at the 2-year period obviously will include some of the version. So just to be aware that there might be 2 different qualities of 8% that will be applied. So very comfortable on our 14% versus the 8%. Now for the fixed income reduction, we don't see it -- we had a one-off charge related to CVA charges. So if you take that out and really look at the underlying performance, we feel that we were pretty much in line. If I additionally, consider that obviously, we are more largely European than some of our competitors, we were certainly below some of our competitors in our one-to-one comparative. If we looked at least favorites. If we look at client surveys. If you look at it, there's no indication for any loss of market share at this point nor do we see or do we have any concerns around that at this point. We just said overall just a weak environment as many of our competitors reported.
Operator: The next question is from Mr. Kian Abouhossein of JPMorgan.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: Moving away from AQR, few number questions. On Page 2, you have the EUR 360 million in the Core Bank on litigation. Can you please split that into the divisions? The second question is on cost savings, the EUR 1.5 billion, could you please give me an idea where we stand in terms of on a divisional breakdown roughly? And particular, indication of how much is in CB&S and the rest would be very helpful. And it looks to me like you will be easily meeting your target, clearly, of EUR 1.6 billion. So when should we think about the target maybe being brought forward or why wouldn't it be brought forward? The third one is your gross balance sheet is down EUR 122 billion. I was wondering how much of that is FX, so the IFRS balance sheet? And lastly, on the FBO proposal, just very briefly, is there any change from what Stefan has indicated in the past in terms of how you will deal with this issue? And secondly, do you have BaFin approval for the debt swaps that you indicated in the past?
Stefan Krause: Kian, thank you for all your questions. I'll see if I remind them all correctly. First of all, we don't break up litigation by divisions other than telling you that the largest part of our litigation is in NCOU, yes, and it's obviously -- because it's related to legacy matters. We do have litigation in expenses in different divisions that I also can tell you it's not only CB&S business. We had some litigation settlement that did also impact our Asset & Wealth Management business this quarter for example. So we don't break it out. On the EUR 2.5 billion target, I will owe you the numbers. I think we disclosed that at the beginning, we can give you some color on that, but let me do this after the call. I don't have to say that. Then you asked a question about the balance sheet. Would you mind repeating that one? I didn't get that quite.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: Yes, your IFRS balance sheet is down about EUR 122 billion, and I'm just wondering how much of that is FX versus real reduction.
Stefan Krause: So in -- probably, it's about in the EUR 30 billion, number, the reduction in FX that we have on our IFRS balance sheet if I look at the reduction that we had on the CRD4 exposure. And then your last question was related -- can you repeat that?
Anshuman Jain: FBO.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: Yes, on the U.S. FBO proposal?
Stefan Krause: Yes. Oh, yes, yes. We have -- currently, the view is that the plan, as I communicated, is executable, yes, based on everything of the rules. We have actually done a re-review of our FBO overall plan in this quarter, and we also updated, obviously, for the new rules that came out. We updated for the requirement that we know and the conversations we've had, and I can indicate to you, at this point in time, no reason to do any change of that. Only interesting to note, by the way, that our litigation charges, it occurred -- the large litigation charges occurred in the United States. We, obviously, are taking further hits to, obviously, our German capital in order to keep the same alive and keep it going as we have issued it to you. So we continue to update but no change at this point in time.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: And Stefan, one question on, what, the discussion on FBO last time that we had at the conference call. Do you have the agreement from BaFin on implementing such plan, which was related to that swap?
Stefan Krause: The issue is -- it is the interpretation of the laws and the interpretation of our laws, which is the U.S. thing and recognition in terms of, what, let's say, our German -- understand that I cannot comment on regulator statement or communication in an analyst conference call. All I can say to you, it does comply with the laws, and it does comply with the regulation that they set out. Let's not forget what's important for the German side of the equation that we have taken the hit to capital in Germany by the end of 2012. You remember that we took a substantial hit to our German capital within the HGB accounts. So in that sense, our view is -- and we still comply with all capital ratios that we need to comply with, with our German subsidiaries in Germany, and we do comply them, by the way, with ample room to existing even to fully phased-in regulation, yes. So therefore, in that sense, we would not see where there would be any issue. But please understand that I cannot comment on regulator communication or negotiations or discussions.
Operator: The next question is from Mr. Daniele Brupbacher of UBS.
Daniele Brupbacher - UBS Investment Bank, Research Division: Turning again on Slide 9, the EUR 600 million you mentioned there, could you give us a bit a feeling for how when you expect this to be charged to the P&L over time? And then on Slide 10, the EUR 1.3 billion pro forma number you mentioned there, I think it's probably fair to assume that the final definition of exposure will change a little bit. There might be additions, but I think there will also be removals. So, I mean, how comfortable do you feel about potential changes going forward as you put the final definitions? And also, on that slide, the EUR 5 billion AT1 issuance, when should we expect you to start to issue this? Do you -- are there still pending approvals from the BaFin and how we should just think about it? That's it.
Stefan Krause: Okay. Let me walk you through this. The EUR 600 million P&L charge, obviously, the -- first, to clarify, in difference to RWA reduction, when you do reduce balance sheet, obviously, you have to reduce the liability and the asset side. And it turns out that obviously, if you want to maintain your duration on the liability side of the balance sheet, you also will have to reduce longer-term debt. And that's where the expense, a large part of the expense is going to come. So think about, obviously, it will be driven by the speed of asset reductions and then the corresponding speed of liability reductions that we do want to keep the liability structure of our balance sheet in tune. So expect about 2/3 to occur next year and 1/3 to occur in 2015 as we move down this target of this expense to occur, but also consider that the last part of this expense will not be asset driven. It will be liability driven off this onetime expense. Second, how comfortable we are in definitions with -- of our leverage exposure? At this point in time, actually, we are quite confident that CRD4, based on all the communications that we've had, will be the valid European scale. And we, at this time, have no reason to believe that there will be anything else than that. There are some designatory changes that still might occur, but at this time, we believe that CRD4 will be what we have to look at. On the AT1 issuance, they will occur over time until end of 2015. There have been, obviously, no issuance from German banks yet. Obviously, that gives them indication where we stand. But if I can say so, we do expect that before year end, we will be put in a position to execute the transactions, yes. So in that sense, we just expect the claim court and the rules be clarified, so...
Operator: The next question is from Mr. Christopher Wheeler of Mediobanca.
Christopher Wheeler - Mediobanca Securities, Research Division: Yes, a couple of questions, and really, one relates to what you just said there, Stefan, on the fact you don't believe there would be many changes to CRD4. What I wanted to ask you on leverage was how much of your buffer do you think will be eaten up if we get the proposals particularly on repos and CDS sold that were proposed at the end of June if those are actually implemented? How much would that gobble up because I was led to believe that it could actually gobble up about 60 basis points? That was the buffer that you were going to create at the end of the second quarter on a pro forma basis based on your deleveraging. So I just would like to understand why you now think -- or why you think that those proposals will not go through and we, obviously, have seen the comments. And the second question really is something I asked [indiscernible] last week. U.S. banks seem to be very sanguine about the impact of tapering in terms of the withdrawal of liquidity from the markets in -- particularly in respect to fixed income. And I just wondered where you were coming from on that because it seems to me you have many, many headwinds in fixed income and now we have another major one, which we have absolutely no experience of. And I wondered what you could to prepare for that or what you are thinking about in respect to that issue.
Stefan Krause: Okay. Christopher, thank you for your questions. Well, the reason we have pursued -- and we do understand that there's further discussions there around it. So that's why we are building, obviously, some cushion to deal with this [indiscernible], but we don't expect -- if you look at our pro forma calculation, the cushion, it will be between 60 to 80 basis points. And this is, obviously, excluding, at this point, any net income effects that I could have considered in this calculation as well that we left out. We, for sure, have enough buffer to deal with the 3% even if there would be designatory changes of that magnitude. Now currently, we rather expect in the 20 to 30 basis points designatory changes to affect us, so -- which is very well below the buffer that we are building around the leverage. And I'm going to hand off the second question you asked, Christopher, to Anshu.
Anshuman Jain: Chris, on tapering, I think we should all bear in mind that tapering is the end of something very unusual as opposed to the beginning of something terribly restricted. We've been calling for end to tapering since the beginning of the year. Is it having an impact on our business model? It is insomuch as customer volumes have dropped off dramatically. I was looking at a chart the other day, which shows -- where average volumes were pre the tapering talk and post the tapering discussions, and clearly, that is having an impact on industry profitability. In terms of the specific impact of tapering on our business model, we think it's minimal. And in fact, over time, if it winds up with high interest rates and a steeper curve, it will actually give us a dividend. But certainly, the new model, where we are taking much less risk than we used to, the bar levels are way down. Stress levels are way down. We're not that terribly concerned from a business model standpoint. But yes, volumes coming back at some point would be helpful. And indeed, it will normalize once people get accustomed to the new state of work.
Stefan Krause: Chris, one -- additional one. I make -- when I make the statement, they're based only for clarification. We include management action in that. Of course, that number, it would have a significant impact from SFT that would lead us to cut in that area. So just consider that what I mean is the net impact that we see to us.
Operator: The next question is from Mr. Jernej Omahen of Goldman Sachs.
Jernej Omahen - Goldman Sachs Group Inc., Research Division: A couple of questions. The first one is on Page 16, where you basically show the CtA targets for the full year and then for the 9 months. And I see that you have basically reaffirmed the CtA charge for the year, which seems to be EUR 1.7 billion for the full year 2013, but you've only taken EUR 0.8 billion for the first 9 months. And I was just wondering whether we should be penciling in roughly EUR 1 billion restructuring charge for the fourth quarter. And if there is any specific reason, why the charge in the third quarter seems to be comparatively low given how much you've got left for the full year? So that's Question #1. Question #2 is when you guide us -- Stefan, when you talk about the volatility of the Core Tier 1 ratio -- so volatility seems, obviously, to imply a movement in either direction, up or down, but if I understand you correctly, you're basically expecting the Core Tier 1 ratio to drop. And I was just wondering whether you could explain in more detail as to what is driving that? The third question is on the FBO proposal, and thanks a lot for the update. You mentioned that -- and I didn't think about that before you said it, but you mentioned that the litigation charges are obviously booked in the U.S. And I was just wondering, your U.S. business, therefore, is it currently loss-making? Or will it be loss-making for the full year? And will you be therefore accruing new tax loss carryforwards? And in that context, can you just remind us what the deferred tax asset number in the U.S. is at the end of this quarter and what you expect it to be? And the second question, on the FBO proposal, I think we previously ran the numbers on the 4.25% to 5.25% leverage ratio when this initially came out on the 6th of December. Now the leverage ratios in the U.S. have gone up. What is your sense as to the likely leverage ratio to be used for FBOs in the U.S.? And what is the likelihood that it is lower than what the Fed will use for the U.S. bank holding companies because, I guess, that makes a big difference? And the final question is more of a strategy question, and it relates to Deutsche Bank's fixed income business and, more particularly, rates. We've seen Credit Suisse last week essentially give up on a substantial portion of their rates business, arguing they can no longer meet a return on equity level, which is even close to their cost of equity given the pending leverage regulation. And I was just wondering what the strategic thought process is on Deutsche Bank's fixed income business. And I guess the same question, put the other way, would be why should it be any different for Deutsche or for any other player for that matter when it comes to rates?
Stefan Krause: So Anshu will go over the last question, and then I will just quickly go through the other technical question. Let me start with the CtA. It's -- you're absolutely right to recognize that we have spent less. Obviously, it's very difficult when you start a program like that to spend -- to claim the timing of expenses. And as I said in my text -- in my presentation, we do not expect to hit the EUR 1.7 billion at this point in time, which doesn't mean that we do expect to lower our CtA overall but just we will have a timing differences between the years. The spending has been lower. There is something to do, and the savings has been higher that, obviously, at the beginning, you have the lower hanging fruit and the less in all the projects that obviously needs less investment. I think there is some logic. Obviously, projects that need high investment, obviously take longer to show results, and projects that meet lower investment tend to show quite quick results on some of these efficiency gains that have been passed. So the timing will be off, but we still stick to our overall EUR 4 billion investment. And especially, also, I have to say that all the investment we do into our regulatory-required improvement is certainly protected, and we will see no reduction of that whatsoever. Nevertheless, the timing of the savings, obviously, is a little bit sped up and, obviously, quite well ahead. We had EUR 1 billion so far, as I said in the text. The second, CT1 volatility, it's something we had explained. And I will tell you the main drivers of this is, obviously, on the one hand, obviously, retained earnings, as you see, that our RWA count is pretty much stable and has been stable over the last couple of quarters. So the driver is really -- certainly coming from income. And if I look at my income over the next couple of quarters, number one, on the positive, we have a seasonal income. We tend to have a very strong first quarter, and then it lowers throughout in fourth quarter. It tends to be, obviously, lower in income generation. And regretfully, obviously, what we can plan -- cannot plan for, on the basis of how we reserve IFRS. It's when we take litigation charges that's either driven by settlement or it's driven then by competitors getting to any settlement positions, which then forces us to take respective reassessment of our provisions and taken that which -- at the end, what happened in this third quarter was, obviously, a lot of litigation activity, as you could read out of the press occurs, and this litigation activity always then results in higher results according to IFRS that we have to do. On the CT1, the next one is also -- if you ask for the DTA rules. Let's not forget there are rules in place. Obviously, the DTA is a deduction items. So the second, other than the net income, is the evolution on the deduction item. They are interesting enough. It always depends where we are booking those one-off items, the litigation. And if you book them in certain entities, you could be even P&L positive in a country, but the legal entity that has to absorb a litigation expense might be in a loss position while the whole country is in a positive P&L position based on P&L of other legal entities. I know it's a little complicated, but I do affirm and confirm to you that our U.S. business is profitable and -- but don't make the mistake, yes, that the profitability in the U.S. could be in certain divisions while others have to -- in certain entities while others have to carry the charge. If we go now on the DTA, there are rules and that's what I tried to explain also in my work. There are technical rules depending on where -- obviously, if our capital goes down, the 10%, 15% rule, which tells us how much we don't have to deduct and then start deducting, yes. These are, so far, the 3 Ds on the 10% and 15%. Obviously, the size will also move with the cover. So we have the volatility increase. The amplitude of the volatility gets increased by this 10%, 15% rule whenever the capital moves down interest enough, we have an acceleration and more 3 Ds and, therefore, less deductions. Whenever the capital goes down, obviously, we will have, based on these rules, an increase of the deductions and, therefore, a lower capital. Now if we look at the FBO rules, we expect -- as we have disclosed to you, we are assuming a 5% rule based on the size of our operations of the rules. At this point, we expect that to be the number, yes. And we see, at this point, this will be flat and no change with this but we, obviously, will await final rule clarification. So that -- but we, at this point at least, have no reason to believe that it should be anything other. But again, there is some rule clarification we have to wait for. Now I pass on to Anshu.
Anshuman Jain: Yes. Regarding the specific question about our rates business, let me point out that we have recalibrated that business quite significantly this year. We combine rates and credit rating. We've taken a huge amount of expense out of the run rate of that business. And the bulk of the EUR 250 billion and balance sheet reduction that we talked about will be -- the brunt of that will come. In our rate franchise, roughly 70% of the EUR 250 billion will come from CB&S, of which most will come from a reduction in our rates balance sheet. Now as regard to your comment about our competitors, we've been saying this all along. We fully expected a number of the second-tier players to fall away. And indeed, that's what we've seen over the course of this year. So what you've seen is a tremendous concentration of market risk among the top few firms. The rate activity -- these are things which our clients desperately need and will always need, and there's no doubt in my mind that over time, the RoE in that business will stabilize to cover and, indeed, come to the fee, cost of equity, for the top firms. Deutsche always has been one, and we intend to remain one.
Jernej Omahen - Goldman Sachs Group Inc., Research Division: Stefan, may I just follow up on one point you made. You said that you don't anticipate to use the full EUR 1.7 billion of -- I'm still on Slide 16 of CtA this year. What do you think is the right number we should think about here?
Stefan Krause: So that's what you have to get an estimate because I can't do your job, sorry.
Jernej Omahen - Goldman Sachs Group Inc., Research Division: All right. It's a big number though. So I mean, a cynic would say that the reason why the CtA charge was lower this quarter is so that the bank could show a notional profit, right?
Stefan Krause: That's what a cynic would say, but that's the truth.
Operator: The next question is from Mr. Jeremy Sigee of Barclays Capital.
Jeremy Sigee - Barclays Capital, Research Division: Just a few follow-up questions, please, on leverage and capital. So on the deleveraging plan, the EUR 250 billion, just a couple of questions, when you last talked about it at the 2Q stage, it sounded like you were sort of keeping an ambiguity on the timing. You said by 2015, which could have been interpreted as being by December 2014. And Slide 10 is -- now seems to be satisfying December 2015. So I just wondered if there's any sort of change in your view of the timing there. Is it getting pushed back a little bit? Related point, the P&L sacrifice from that. So a not the cost-to-achieve, but the ongoing P&L give up, which, at one point, was EUR 300 million pretax and is now EUR 450 million to EUR 550 million pretax. What was the main change in the estimates or the assumptions in that process? And then sort of final question, back on Slide 6, sort of feels like you're sort of trying to warn us about some things on the left-hand side there. You've quantified the potential CRD4 impact. I wondered on the EBA regulatory technical standards or the SSM, what, particularly, are you most worried about?
Stefan Krause: Okay. Let me start. First of all, I can tell you that the ambiguity, don't misunderstand that. There is no change in timing of our EUR 250 billion, and to be honest, the largest part of it will be completed throughout 2014, yes. So I think that we just need to leave that open because there might be some work to be done in 2015 as well. As you see, it's coming down quite rapidly and we will -- we're very comfortable that most of [indiscernible] will be done in 2015. Therefore, also, the onetime charge that we talked about also, the largest amount, will come in 2014. Now you have to -- and this is really what I asked you to consider, discipline that when we see RWA reduction here, we have to lower both assets and liabilities. And obviously, the timing of the expenses, the large part of the expense is associated to the liability reduction here. It's -- obviously, the liability reduction does have some time constraints, does have some limits to it. So that's why we may be moving assets down fast on the liability side. It may be taking some time based on the fact that we not only want to cut the short-term funding of the bank but in the end want to keep the funding profile in terms of the maturity we have in the -- on the liability side. So that's why you see us being a little bit cautious of our statement because it's managing both sides at the time and managing the timing of both sides at the time. And now -- the next question was the increase in the expense. So the increase in the expenses, largely driven that in the initial assumption -- obviously, as we had set out the top-down target, we made some assumption on the lower RoA asset cuts here that we were targeting, as we discussed with the business. We cannot -- the portfolio decisions only cuts lower RoA portfolios. We also have to go into some of the higher RoA portfolio. It's something to do that some of our lower RoA business, and I think the repo business might be a good example of that, yes. It's a business where you have to maintain a certain level in order to drive other P&L, yes, and that is, at the end, what caused us to increase the estimate somewhat that initially was done top-down. On the SSM AQR, I think the biggest challenge that we think, there will be -- it's a little bit the view, it's an expectation in the market that some significant results should come out of the AQR. And we have difficulties to see that as we all have audited balance sheets and as we all comply with IFRS. So at the end, of course, in some of our valuations, management judgment is exercised and there might be, obviously, different views, but at the end, we have to always go back to management judgment decisions on valuations and look at those. Everything else is pretty straightforward. I would not know where significant or expected because in -- balance sheet might be there because otherwise, we also will all have issues with, obviously, our annual ongoing auditing that we do. A different study that we expect, obviously, to get quite some insight on some of the stress testing because the stress testing, obviously, gives different results than an AQR will give you. So far, it's important that there is clarity on the AQR and that there's a lot of transparency. And obviously, there is a cautious way on how this gets communicated to the market. That, I think, was the question.
Operator: The next question is from Mr. Stuart Graham of Autonomous Research LLP.
Stuart Graham - Autonomous Research LLP: I've got 3 rather random questions. The first question is back to the FBO proposal. You told us the shortfall was EUR 17.2 billion at the end of last year. Can you give us an update on that for the Q3 stage, please? The second question was on the costs. Maybe I misunderstood Anshu's opening comments, but it sounded to me as if there was quite a bit more reinvestment going on than I thought. So could you just help update us on how your exit cost base looks in 2015 versus what you talked about at the Investor Day? Has that changed at all? And then a third question is a bit more strategic. Thinking kind of long term, looking through the AQR and the stress test, looking at the banking union, longer term, if we really do get fungible capital liquidity under a central regulator, how do you see the opportunity for Deutsche Bank in that environment?
Stefan Krause: Yes, Stuart. First, on the FBO, there is no change in the plan, yes. So I acknowledged to you that the view we expect in quarter, there is some minimal nonmaterial change to the plan, so no substantial change for the numbers that we communicated to you. It stays unchanged. We actually have good progress on the balance sheet reduction in the United States, just giving us some room also, so at the end, no real change. And on the cost for reinvestment only, what we want to clarify is that our cost-cutting exercise, on the one hand, is targeting a certain cost base and a cost base -- but then, of course, the regulatory environment, for example, and some of the growth ambitions that certain business divisions have, for example, GTB, that has the growth ambition, et cetera. There will be also offsetting cost increases, but we still stay committed to the numbers of -- the core number is to use 65 basis points plus income ratio. And that's what we are targeting. So the 65 stays unchanged. We only wanted to make you aware that there might be movement. For example, a growing division may, obviously, have some increasing cost while other areas may have more significant decrease, yes. And there is some regulatory add-on cost that is the result of the current additional requirement we have that we also wanted to make you aware of so that we compensate. But at the end, we're targeting 65 basis plus income ratio, right.
Stuart Graham - Autonomous Research LLP: Sorry. And on the FBO, I mean, your plan assumed that DJs [ph] would go down, whereas it sounds like they're going up, and your plan assumed, I think, EUR 2 billion of litigation cost in the U.S., whereas you've taken more than that already. So I don't see how it can be on track.
Stefan Krause: Let's start -- obviously, U.S., there is a branch that is not part of the FBO and then there is the entities that are part of the IHC. So I think that there is -- yes, there is effect in the United States that I can only verify for you. And we did a detailed look at the plan, and there is no material change to it at this point in time.
Anshuman Jain: Stuart, let me -- sorry, Stuart had the third part to his question. Let me take that before we move to the next question. You talked about our strategic outlook. We chose 2015 very deliberately. This was back in June 2012. We wanted a period of time which gave us enough time to work through the considerable issues, and this quarter is a perfect example of us working through those issues. We're making good progress, and we will wind up needing that time in order to get to a point where we feel we're operationally sound, we have the capital, we have the platform we need, we have the liquidity, we have all our ratios exactly where we need them. Simultaneously, while it would be interesting to think of a time when you have fungible capital and liquidity in Europe, we don't have it yet, and much more significantly, regulatory volatility remains incredibly high. Not a quarter goes by without some surprise coming from some regulator in some part of the world. So certainly, I can tell you at this point, Deutsche Bank is utterly focused on delivering on its organic promises. That's the implication of your question. Down the road, there will be all kinds of interesting strategic optionality which we can then benefit from. We don't see that in the short to maybe even medium term.
Operator: The next question is from Mr. Huw Van Steenis of Morgan Stanley.
Huw Van Steenis - Morgan Stanley, Research Division: Very much, all the surface are covered, so 2 very quick ones. First, in the -- your national accounts, you significantly toughened up the language on LIBOR potential losses. Is there any clarity you can give around the 1.2x provisions, how much are LIBOR-related versus other? Or would we still expect material further LIBOR provisions after this quarter? And then secondly, in the light of Anshu's comments about very subdued trading, post tapering, I'm assuming that means that continues into Q4. Have you considered further recalibration of the rates business to cut cost or make it even more efficient until we get through this period of volatility?
Stefan Krause: Okay. Let me take those 2 questions. First of all, the reserving is driven by IFRS rules, and the reserving, obviously, has nothing to do with what we expect in that sense. It's driven by the likelihood of a cash outflow and our ability to reliable estimate. So just only to clarify that. It might sound like a nuanced difference, but it's an important difference in terms of how the timing in the litigation occurs. And I will comment all relates to the effect on how -- obviously, we have progress in being able with the likelihood of cash outflows and our ability to reliably estimate on competitors, yes, on how we put the book. And obviously, wherever there-- we don't need the future requirement, especially, it's likely that we will have outflows but a reliable estimate cannot be done. IFRS will not allow us to put reserves on the book. So consider that -- so therefore, there is a mismatch between -- sometimes between how you perceive litigation to evolve and the progress of litigation to evolve versus how the reserving timing occurs. That is -- second, which we wanted to clarify in my statement, if you have a topic that you have assigned a number on in your reserve and that increases, it doesn't automatically reduce, the contingent piece. According to IFRS, the only thing can be in the contingent, where we have a less likelihood than 50%, so also to clarify. So I'm just trying to avoid that we get confused by it. We are observing the market. And as you can observe the market, as we would see progress on further LIBOR and LIBOR settlements and litigation, we'll be able to tell you more about that. And especially, we can, at this point, not make a statement of how much or more to expect or not to expect. It's very difficult to make things at all the different kinds of LIBOR-related litigation this time that are out there right now. On Q4 -- on your Q4 question, no change, no change to our business, whatsoever, no need. We actually think that we are pretty much in line with the market. And honestly, we -- what the Investment Bank did early on, they did expect a reduction early on. They are operating at the capacity that we see in the long term. So we don't see any need to do any changes to our business market there, right.
Operator: The next question is from Mr. Alejandro Berenson [ph] of Newman Investments.
Unknown Analyst: My question is on the subordinated capital and specifically on subordinated bonds that you have not called last month. And I was thinking, is there any capital benefit in not calling these bonds and -- or are you thinking of any way to generate capital from these bonds based on what the market is pricing? Or are you looking at them more as a very cheap, very long-dated source of funding that could be -- that could still offer some loss of option capability in case of any either...
Stefan Krause: Okay. If I got your question relating -- you weren't very clear to hear, but if I got your question, you're asking about the subordinated bonds that we didn't call and if there's any capital benefit from these bonds or whether we look at just [indiscernible]. So as in the past, we monitor and manage our Tier 1 and tier instruments against a metric comprising replacement cost, remaining regulatory value, et cetera, yes. So in terms of what we look at this, as we have said, we behave very shareholder-oriented to this. In that sense, we will do the financially right position from our shareholder point of view. It tells you that, obviously, the cost of these instrument classes is still interesting. Some of our Tier 1 stock still has a Tier 1 -- Tier 2 recognition, yes. So some of these instruments that originally -- where Tier 1 will have a Tier 2 recognition in the new framework. So that's something to consider as well. And obviously, at this point in time, until we know about the new regulation that we expect to be done by year-end on recognition of new Tier 1 instruments, obviously, it's difficult to assess what we -- how we exactly will behave in terms of the near future as soon as we know the rules and the grandfathering rules. So let's leave it at that.
Operator: There are no further questions at this time. Please continue with any points you wish to raise, gentlemen.
John Andrews: Thank you, operator. This is John Andrews again. I'd like to thank you very much for your attention this morning. Obviously, the Investor Relations team is available to all of you for any other follow-up questions, and we wish you a very good day. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephones. Thank you for joining, and have a pleasant day.